Patrick Kofler: Good morning, everyone, and welcome to our Q2 2021 earnings call. Today, I'm again with our CFO, David Schroder, who will provide you with a brief strategic update, walk you through the financials of the second quarter and discuss with you our full year 2021 outlook. As usual, this call is being recorded and webcasted live on our Investor Relations website, and a replay of the call will be later available today. David, I will now hand it over to you. Please go ahead.
David Schroder: Thank you, Patrick, and a warm welcome to all of you from my side as well. Thanks for joining our call today. It's my pleasure today to talk to you about another stellar quarter from a strategic as well as a financial perspective. Our platform strategy is enabling us to play a bigger and bigger role for customers and partners within the European fashion ecosystem. And we've set the foundation for continued strong growth in the future. At the same time, we delivered another quarter with exceptional financial performance against a very strong prior year baseline. All this is a testament to the resilience, agility and ingenuity of our Zalando team, who I would like to hereby thanks once again for their incredible dedication and support. To recognize the great work done and the challenges we've successfully overcome together during the pandemic, our Zalando team is on vacation this week. That's a collective week off to reset and refresh before we start the upcoming fall/winter season, aiming to create many more exciting and memorable moments for our customers and partners. But now let me please share with you the key highlights. First, we continue to attract exceptional amounts of customers and to engage more deeply with existing ones as evidenced in our more than 30% active customer growth as well as new all-time highs in average order frequency and customer spending. This does not only create significant growth opportunities for Zalando, but also for our partners. Our partners capitalized strongly on this growth momentum, resulting in a partner program GMV growth of more than 100% year-over-year in the first half of 2021. Second, we remain focused on further deepening the relationships with our customers by improving our core fashion experience and by elevating distinct and marketable propositions such as Zalando Lounge, pre-owned, premium or beauty. We are thus super excited about the recently announced strategic partnership with Sephora, enabling us to accelerate our multiyear vision to build an industry-leading beauty proposition. As a third highlight, and following our announcement at the Capital Markets Day back in March to expand to 8 more markets in 2021 and 2022, allowing us to address another 100 million European consumers, we recently launched 6 new European countries, allowing customers to enjoy Zalando's endless choice, seamless convenience and tailored digital experience. Fourth, we delivered exceptional financial performance in the second quarter of 2021. We grew GMV by 40% to EUR 3.8 billion and achieved a 6.7% adjusted EBIT margin against exceptional Q2 2020 comparables. And last but not least, we are happy to reiterate our upgraded full year 2021 guidance with GMV growth of 31% to 36% and revenue growth of 26% to 31% year-over-year. Thanks to the strong year-to-date performance, we now expect adjusted EBIT in the upper half of our initial EUR 400 million to EUR 475 million range. While growth rates and return rates are starting to normalize again, we are fully on track to reach our upgraded full year 2021 guidance. As usual, we will now dive deeper into all these highlights during the rest of the presentation. Let's start by taking a closer look at our key platform dynamics, both on the customer as well as the partner side, which continued to show strong traction as pandemic-related restrictions have been gradually lifted from May onwards in most European countries. When looking at our key customer metrics, we saw great progress in the second quarter. We achieved an active customer growth of almost 31% year-over-year, now counting 44.5 million customers across Europe, fueled by ongoing strong new customer acquisition as well as reducing churn rates for existing customers. Customer order frequency reached a new all-time high of 5 orders per customer over the past 12 months, showing the strong and increasing engagement of both existing as well as new customers on our platform. Average basket size increased slightly by 1.4% year-over-year, mainly driven by ongoing lower-than-normal return rates. As a result of these order frequency and basket size developments, GMV per active customer continued to grow by 7.8% over the last 12 months. Now after having a look at our entire customer base, let us also take a closer look at the behavior of the specific customer cohorts we acquired during the first lockdown last year. At our Capital Markets Day back in March, we showcased the pandemic-induced step change in online penetration and our expectation that online penetration would continue to increase from this higher base post COVID rather than reverting back to pre-COVID levels. This expectation was supported with customer cohort data from our business. Customers acquired during the first lockdown remained active, also as stores reopened in the summer months of 2020. Looking at the same March-April 2020 cohort and its most recent data, we continue to see that it consistently outperforms the comparable cohort from March-April 2019, also during Q2 2021. These developments once again exemplified that the COVID-19-induced step change in online penetration is proving to be sustainable and that we are able to capitalize on it, thanks to our platform strategy. As a consequence of Zalando's continued traction with consumers, fashion brands and retailers are engaging with our direct-to-consumer platform more deeply than ever before to capture the online growth opportunity to the fullest. This is evidenced by the continued strong traction we are observing across all our key partner-facing platform services over the past 18 months. Partner program GMV grew by more than 100% year-over-year in the first half of 2021. While we onboarded more than 500 new partners since the beginning of the pandemic, the majority of our growth was driven by increased stock commitments of existing partners as evidenced by an ever-growing amount of new and available SKUs on our platform. On top, our partners increasingly leveraged Zalando Fulfillment Solutions to shift their merchandise in a customer-centric and cost-efficient manner to customers in our international markets. As a consequence, the number of shipped items with Zalando Fulfillment Solutions during H1 grew by more than 140%. With Connected Retail, we offer brands and retail partners a model that allows them to connect their brick-and-mortar stores to the Zalando platform. By the end of June, nearly 4,700 Connected Retail stores sold through our platform. To put this into perspective, we were able to onboard more stores in the last 2 years than Inditex has in total in Europe. Additionally, we launched Connected Retail in France, Switzerland and Belgium making it available across a total of 13 markets. Active store churn on the platform remained extremely low at below 1%, although the commission waiver introduced as part of our corona relief measures for the broader fashion industry came to an end at the close of the first quarter, and we returned to full commission in Germany as of June. For us, this is a clear indicator that store owners consider Connected Retail as a key part of their own omnichannel strategy also post-pandemic. Last but not least, Zalando Marketing Services, which enables our partners to increase the visibility of their offering and to build their brand on Zalando, also recorded very strong growth of more than 120% in the first half of 2021, following an initial industry-wide setback at the beginning of the pandemic. This strong growth was mainly driven by performance marketing campaigns, which help partners to drive direct sales on the platform. While services related to branding campaigns picked up as well, as brand demand for big branding investments started to rebound and is expected to gain even more importance in the second half of this year. In concluding the section on platform dynamics, I would therefore like to emphasize again that customer and partner engagement continues to grow strongly, making us more confident that we can play an even bigger role for the European fashion ecosystem going forward and that we can achieve our ambitious growth targets to reach more than EUR 30 billion GMV by 2025 and to serve more than 10% of the European fashion market long term. Next to further improving scaling and geographically expanding our core fashion platform, we will capture this tremendous growth opportunity by further deepening customer relationships through elevating distinct and marketable propositions such as Zalando Lounge, Pre-Owned, Premium and Beauty. Following our recent announcement about our strategic partnership with Sephora, I would therefore like to take the opportunity today to particularly focus on Beauty. Online Beauty represents a highly attractive market for Zalando. The European beauty market will grow to a size of about EUR 120 billion, and its online penetration will increase to over 25% in the next 5 to 10 years from a currently relatively low level of only 11%. Also in Beauty, online has made a step change as a result of the pandemic. For us, Beauty is a logical next step to unlock our growth potential in the years to come. Beauty allows us to attract new customers, but also enables us to build much deeper relationships with existing customers than a fashion-only destination ever could. Already today, 3 out of 5 of our customers also buy fashion products when shopping beauty. At the same time, we can leverage our existing industry-leading infrastructure and capabilities to support our growth and business ambitions, not just in Fashion, but also in Beauty. We can access Beauty supply via traditional wholesale partnerships as well as our direct-to-consumer offerings partner program and Connected Retail, and thereby enable a broad and attractive selection at high availability. Our logistics network allows us to serve our customers with beauty products all over Europe, and our technology and payment platform covers the whole value chain of e-commerce for us and our partners with the ultimate goal to build a truly elevated beauty experience for European beauty customers. And we made strong progress on this journey since the launch of the Beauty category at Zalando back in 2018. By now, we are offering customers more than 16,000 distinct beauty products across 10 markets, covering the full beauty spectrum. Our customers can choose from more than 350 brands, including many popular brands from renowned beauty houses like L'Oreal, Estee Lauder and Coty. Going forward, we will further innovate our beauty experience along 2 key dimensions. We want to further improve assortment access, and we want to offer an even more compelling customer experience. With the recent announcement to join forces with beauty retailer, Sephora, we will create an unrivaled online prestige beauty experience. During -- through the partnership, the attractiveness of our assortment will significantly improve, benefiting from Sephora's prestigious and exclusive beauty portfolio of more than 300 brands, including halo-brands like Chanel or Dior. Starting in Germany in Q4 2021, the partnership is set to be successfully rolled out through our partner program to other Zalando markets as of 2022. But great brands and products alone won't be enough to offer our customers a leading online beauty experience. At our Capital Markets Day in March, we already gave you a glimpse of the multisensory experience that we envision to create for our beauty customers on Zalando, an experience that incorporates beauty-specific functionality, content and communication to respond to beauty-specific requirements such as the need for more advice and product trials. We are very excited about our multiyear vision to build an industry-leading beauty proposition and are accelerating our efforts and investments to push our beauty experience to a differentiated and unique level over the next 12 to 18 months. This concludes our strategic update for today. Let's now turn to our Q2 financials and start with a more detailed look at our top line growth. Group top line growth in the second quarter once again came in at an exceptionally high rate with GMV growing by 40% year-over-year. I would like to particularly highlight in this context that when looking at a 2-year CAGR, we were even able to accelerate our growth in Q2 quarter-on-quarter and have seen our highest 2-year CAGR since the outbreak of the pandemic in March 2020. Growth was supported by a continued strong consumer demand for online offerings as extended lockdowns remained in place across most markets at the beginning of the quarter and were only gradually lifted over the course of the quarter. The strong performance of Zalando's partner business as well as successful sales events also fueled our growth in the second quarter. In Q2, partner GMV growth again exceeded overall GMV growth significantly. This also explains, to a large degree, the gap of around 5.7 percentage points between GMV and revenue growth, which is particularly well pronounced in the DACH region, where the platform transition is most advanced. Now let's take a look at the development of each of our 3 segments. Our core sales channel, Fashion Store, saw GMV growth of 40.3% GMV year-over-year in Q2 across both regions. Most notably, the DACH region even outperformed Rest of Europe this past quarter with a very strong GMV growth of almost 44%, particularly driven by our most mature market Germany, growing well ahead of the group, supported by the success of the platform transition as well as ongoing lockdown restrictions for the first 2 months of the quarter. Rest of Europe grew strongly as well with 37.1% GMV growth against an exceptionally strong prior year baseline. Growth was particularly strong in Southern Europe and Eastern Europe, supported by increased marketing investments, ongoing strong new customer acquisition and reduced churn. When looking at a 2-year CAGR, we still see Rest of Europe outperforming DACH with an exceptional CAGR of 36% in Rest of Europe and 35% in DACH. Furthermore, our Offprice segment continued with its strong growth trajectory in the second quarter of 2021, recording GMV growth of 39.2% year-over-year, driven by our flash sales destination Zalando Lounge, thanks to a highly engaged customer base. While our Outlet business was flat year-over-year due to ongoing restrictions for offline retail. The Other business segment followed the positive trend driven by a particularly strong performance from Zalando Marketing Services, where we saw strong demand from fashion brands resulting in revenue growth of more than 120% in the first half of the year. Besides using ZMS to drive sales on the platform by increasing visibility, our partners continue to invest more again in branding campaigns to build their brand equity on Zalando. Let's now turn to profitability. In addition to a very strong growth momentum, we recorded an adjusted EBIT of EUR 184.1 million in the second quarter, representing a 6.7% margin. Profitability was supported by a strong top line performance and lower logistics costs, driven by higher utilization rates across our European logistics network and an ongoing return rate benefit. At the same time, we deliberately ramped up our marketing and pricing investments to capture the full demand potential. Overall, quarterly profitability remained below last year's level, mainly resulting from decisive marketing investment cuts as part of our initial crisis response back in spring 2020. However, when looking at the margin for the first half of 2021 as well as the margin development over the last 2 years, you can clearly see our margin increasing. When looking at the regional profit distribution in our core Fashion Store segment, we can see that our more mature markets in the DACH region delivered remarkably strong absolute as well as relative profitability, also supported by a higher partner business share, but remained below last year, largely to higher marketing investments to fully capitalize on demand opportunity. Rest of Europe profitability decreased, driven by continued over-proportional investments into customer acquisition and pricing to drive growth and market share gains in these countries, which from now on also includes the 6 additional markets that we launched recently. Offprice and other businesses also increased their profitability both in absolute and relative terms year-over-year. Let me now give you some more color on cost line developments that drove profitability in the second quarter. Our gross margin decreased marginally by 0.2 percentage points year-over-year in the second quarter, mainly as a result of increased price investments to stay competitive against a highly promotional offline environment as stores reopened as well as, as a result of continued business mix changes in terms of category mix and country mix. Our fulfillment cost ratio improved year-over-year as a result of higher levels of utilization, driven by the strong business volumes and improved order economics on the back of a higher average item value and an ongoing yet temporary return rate benefit. Our marketing cost ratio increased significantly by 4.6 percentage points year-over-year as we stepped up our customer acquisition and engagement investments, supported by our ROI-based marketing approach to capture the full demand opportunity. Please also note that we'll have an all-time low in marketing cost ratio recorded in Q2 last year as a result of our initial crisis response. Last but not least, admin costs improved year-over-year as a result of increasing economies of scale. Turning to cash-related items now. We recorded an increased working capital year-over-year. The main driver behind this development is a relatively stronger increase in inventories and in receivable builds than in payables, reflecting deliberately preponed fall/winter 2021 inbounds to mitigate potential supply chain disruptions and a generally strong spring/summer '21 business volume. CapEx spending year-to-date is comparable to last year. All major projects are on track. We expect the majority of the CapEx planned for 2021 to materialize in the second half as CapEx for our large logistics infrastructure project is usually back-end loaded. Mainly due to our strong operational performance, we recorded a positive free cash flow of EUR 167.6 million for the first half of 2021, up from EUR 39.9 million in the prior year period. During the quarter, we saw a cash outflow of EUR 105.7 million for our share buyback program. We successfully completed the share buyback at the end of July and have bought back 2.1 million shares and just spent below EUR 200 million. As a result, our cash balance at the end of Q2 amounts to EUR 2.3 billion. Let's now turn to our full year 2021 outlook. When COVID-19 hit Europe in spring 2020, we experienced a dramatic change in our business environment as well as in our private lives. As part of our decisive initial crisis response, we focused first and foremost on protecting the health and safety of all Zalandos, defended the financial health of the company and made a big effort to become part of the solution for the European fashion industry. Following the initial demand shop, we have by now experienced 5 consecutive quarters of exceptional performance, fueled by the accelerated shift of consumer demand from offline to online channels. Our platform strategy has allowed us to not just play an even bigger role for customers, but to also create significant growth opportunities for partners. As evidenced by our strong performance year-to-date, we continue to enhance our strong strategic and financial position, which in turn enables us to invest with even more confidence to realize our long-term vision to be the starting point for fashion and to capitalize on the tremendous growth opportunity ahead of us. With most of the lockdown measures now being eased across Europe and consumer mobility increasing, growth rates have started to normalize in recent weeks, as expected, compared to the elevated levels achieved during the first half of the year. And these growth rates are approaching now our midterm target growth corridor of 20% to 25%. Although significant uncertainty remains with regards to the further evolution of the pandemic throughout 2021, we continue to assume a gradual return to the new normal in the second half of the year with some lighter restrictions remaining in place until the end of 2021. Based on our strong year-to-date performance and our unchanged expectations for the second half of the year, we therefore confirm our upgraded full year 2021 guidance as outlined in May. For GMV, we continue to anticipate GMV growth between 31% and 36% for 2021, reflecting an unchanged expectation for the second half. For revenue, we continue to forecast that revenue growth will trial GMV growth as a result of the strongly growing partner business and with us come in at a rate of 26% to 31%. For profitability, we now expect adjusted EBIT in the upper half of our initial range of EUR 400 million to EUR 475 million, driven by an outstanding top line performance and continued return rate benefits in the first half of this year. On cash-related items, we maintained our previous guidance on achieving negative net working capital. With regards to CapEx, we now expect to spend around EUR 350 million this year and therefore, to come in around the low end of our initial EUR 350 million to EUR 400 million range. While all major logistics infrastructure projects remain well on track and we continue to invest into our logistics and technology platform at full speed, we already see today that some of the CapEx initially expected for 2021 will be shifted into spring 2022 as CapEx is typically more back-end loaded. Let me close this presentation by reiterating that based on our vision to be the starting point for fashion and on our strategy to transition to a truly sustainable platform business model, we are ideally positioned to capture the immense opportunity ahead of us, serving even more customers, building deeper relationships with them and creating significant growth opportunities for our partners. With that, I would like to conclude our presentation and now turn to Q&A.
Operator: [Operator Instructions] Our first question is coming from Rocco Strauss from Arete Research.
Rocco Strauss: Two questions for me, please. First is, I mean we are seeing revenue growth at the likes of like Facebook, Instagram, Snapchat, et cetera, kind of like all now being driven rather by prices per ad unit than via impression growth. And with Zalando currently like reinvesting the savings that you're likely seeing from like lower return rates into marketing, to what extent are we seeing kind of like a new normal of marketing as a percentage of sales with a tighter market for impressions? And then secondly, on Connected Retail, I mean given that Zalando had waived commissions for partners in the last kind of like 12 months plus, while we are kind of like seeing Connected Retail already in GMV and the cost for the infrastructure obviously being captured by EBIT, could you elaborate on what this actually means in terms of like EBIT impact for the remainder of the year once commissions are no longer waived and maybe more broadly into '22 as well?
David Schroder: Sure. Yes, thanks for these 2 questions. Let me start with the question on advertising. So yes, I guess it's pretty apparent that the advertising industry has seen a strong rebound in general, also as some of the other verticals that were really hit hard by corona returns to the table, for example, travel, and that has driven demand up, while supply, I guess, was either flat or even slightly down given that people also returned to the lives outside of their home or their mobile screen. And that naturally led to an increase in prices. I think it's important to note, though, that when we think about our marketing investments, yes, obviously, these prices play a role, but what we ultimately steer towards is good long-term return on investment. And so when we made our decisions to ramp up our marketing investments in Q2, that's also the approach we took. We looked at -- very closely at the ROIs in the different countries for different categories, and then deliberately stepped up the game because we saw good opportunities to earn attractive ROIs on a 2- to 3-year horizon. And that's, I think, the philosophy that we've employed ever since we started with this ROI-based approach back in 2019, and we are now also intending to leverage that approach going forward. I mean in terms of marketing investment in the long term, I think we've been very clear at the Capital Markets Day already that as our platform grows, as our starting point vision materialize, we think we will become less and less dependent on external customer acquisition, and we'll much more drive the growth through the existing customer base. And therefore, you can still assume that over a longer time horizon, marketing cost ratios will trend downwards. The second question on Connected Retail. I mean first of all, we are super happy with how this business is developing. I mean when we saw it take off in the beginning of the pandemic and then also started our support programs for partners by waiving commissions, it became clear to us that, that can be -- become a key part of our story going forward, and it can also become a key element of how Zalando can play a bigger role for the overall industry. I'm particularly happy that now after the first half, we are already talking about 4,700 stores. Remember that we set a target for the full year to get to around 6,000. So we are almost there yet. And if you look at the pipeline, you can even say, in terms of people, that -- stores that are waiting just to be connected, there's no doubt left that we reached that target, and that I think makes all of us proud and also shows us that there's still tremendous potential left. What you rightfully point out, however, and that's maybe also something to keep in mind when you look at our gross margin development, while Connected Retail is contributing to our GMV growth, it's not really strongly contributing to our gross margin or EBIT yet, especially over the past few quarters. Since -- due to the commission waiver essentially, we did not earn anything with this program, but just incurred costs. That is obviously now gradually changing. And so we'll see the impact of Connected Retail more and more materialized. It's obviously factored in for our full year EBIT guidance for this year. And I think also for the coming years, we've been pretty clear that the platform transition, especially through higher-margin businesses like partner program like Connected Retail and like ZMS, will also continue to drive our gross margin and also our profitability overall.
Operator: So our next question is coming from Volker Bosse from Baader Bank.
Volker Bosse: Volker Bosse, Baader Bank. Congratulations on the great figures. Two questions. I would like to start with Beauty, it's a follow-on. You will go live in the fourth quarter. How is the rollout to all over Europe as planned? Is it all going to happen in 2022 already? Will Sephora offer its beauty products here at concession to that at Zalando? Or how is that structured and the fulfillment? Is it done by Sephora or by Zalando? So a bit of details in regards to the deal. And the second question would be on your distribution set up. Could you please remind us on your plans in regards to fulfillment center network expansion to come in the second half of next year?
David Schroder: Sure. So let's -- yes, let's start with Sephora. That's for sure, an exciting new partnership for us. I think, essentially, it helps us to do 2 things. First of all, it will certainly advance the whole Beauty category in terms of the assortment that we can offer. As I mentioned during the call, Sephora comes with a very attractive portfolio of prestigious beauty brands, also brands Chanel and Dior that we didn't have access to so far. And so I think it's just very nicely complements our existing assortment and also makes it even more credible for consumers to shop beauty at Zalando. I think secondly, and that I think is also getting 2 parts of your question, Sephora will also help us to prove that also -- the platform also works in beauty, right, because so far, the partner program Chanel in Beauty is super low. It's in the very low single digits. And the deal we struck with Sephora essentially is a deal for the partner program. So all this additional volume will add to the platform volume within the Beauty category. And for sure, will also attract other partners that will understand the power of this Beauty platform going forward, and that's something we are particularly excited about. In terms of distribution, we'll start with a drop-ship setup. So Sephora will be shipping the items they list on our platform through their own fulfillment network, but we've already started to engage with them in very constructive talks on how we can bring at least part of this assortment also to sell on the Fulfillment Solutions because also Sephora understands that it can provide an even better experience for customers if they can shop beauty and fashion products together and also receive 1 parcel instead of 2. In terms of the distribution setup, I think there's no big news this quarter, but I think we had a bigger update with our last quarterly release. So in the longer time horizon, until 2025, we have set up a significant logistics network build-out program to support our growth. I guess it's no surprise that if we aim to achieve EUR 30 billion in GMV by 2025, and we expect a large portion of that, not just in the wholesale, but also in the partner program part to be fulfilled via our own network and we need more capacity to also not be constrained in our opportunity. And we, thus, I think, mentioned that we'll keep adding warehouses over the next few years. I think more specifically, we said that in the near term, next to the big fulfillment center going live in the Netherlands or in this year, we'll add more large hubs in France, in Germany and in Poland to be all started in terms of construction still over the course of the next few months.
Volker Bosse: The beauty rollout will be happening all over Europe, already in the next year or is it more a longer-term process, just a final one on that?
David Schroder: You mean the beauty roll-out, sorry. I missed that part of the question. Yes, so we'll start with the partnership in Germany in Q4 this year. So I think that's great news for our customers in Germany that they can experience all the benefits for their Christmas shopping, where beauty is a very important category. And then throughout 2022, we aim to broaden and roll-out the partnership to all other markets where we sell beauty, which currently is 10 markets.
Operator: We have the next question coming from Anne Critchlow from Societe Generale.
Anne Critchlow: I've got 3 actually. Firstly, on fulfillment cost of sales. Should we expect those to normalize, say, back to the 2-year-ago level? Or do you expect still some benefit from lower returns in the second half and also scale benefits and logistics? And then my second question is on Connected Retail. Just to ask if you've lost any retail partners while you ramped up the commission rate? And then finally, looking at conversion, that seemed to be up 30 basis points in the second quarter, which was quite impressive. So I was just wondering what was driving that? And whether it was the type of marketing spend you've been doing?
David Schroder: Sure. So yes, starting with your question on fulfillment costs. I think, yes, we should assume a normalization of those costs going forward. I think, especially if we look back at the past 5 quarters, our fulfillment cost line has significantly benefited from lower return rates, which were driven by a change in customer behavior, as we now expect a return to normal and also see a return to normal really already over the past few weeks. I think we can also expect these benefits to fade and therefore, also fulfillment costs to increase again. What we shouldn't underestimate, however, is that what we will continue to benefit from is obviously the high utilization of our network. So I think we've seen those benefits in past quarters, and we'll also continue to see it in -- especially in Q4 this year, where I guess for us, the main challenge will be to drive a strong level of growth without a significant amount of new infrastructure. And that obviously typically has a beneficial effect on costs. Now on Connected Retail, I would keep it brief since we already mentioned during the presentation that less than 1% of Connected Retail stores churn. So I guess that clearly points to continued strong interest of these stores into our platform and for sure makes us very happy. And then on the conversion rate, I think what we mainly saw in Q2 is that there was a very strong demand. And also, I think there were more occasions for customers again to shop and to look forward to. And frankly, that we also had a very successful mid-season sale and start to the end-of-season sale, where you would typically also expect higher conversion rates than in other periods since the offer is just very attractive that is presented to customers in app and on site.
Operator: So we have the next question coming from Olivia Townsend from UBS.
Olivia Townsend: I have 2. The first one, I just wanted to clarify on the comments you made about normalizing GMV growth over the last few weeks. So does this mean that for Q3, you would expect GMV growth of about 25% year-on-year? That would be helpful. And if you're able to make any comments about adjusted EBIT, too, that would be great? And my second question is just on the growth differential between the DACH region and Rest of Europe. So I'm just wondering if you are able to sort of disaggregate the difference into higher partner program penetration, longer lockdowns, weather, et cetera, just sort of how we should think about the relative performance of the 2 regions in H2 and next year as well, please?
David Schroder: Sure. So in terms of additional color for Q3, I think on growth, I'm probably going to sound a bit repetitive, but what we are indeed seeing is that consumer demand is, yes, going back to normal, which, I guess in our case, still means strong growth, especially if you compare it against the strong prior year baseline, which was still heavily supported by COVID tailwinds. So yes, we are approaching the 20% to 25% target growth corridor again, but we are approaching it from above. And so everything, I would say, as expected. And I would actually interpret our ability to drive this strong growth on top of a strong baseline as a very strong sign of our proposition, as a very strong sign that our strategy is working because I still remember that a year ago, I had to answer a lot of questions how we think about a potential steep pullback after these tailwinds are over. And what I can happily confirm is that we are not seeing that, right? So we are growing strongly on top of a high base. And yes, that makes us very happy. And for us also is a great confirmation of the way we think and steer the business. In terms of the second question, growth differential, DACH versus Rest of Europe. I think particularly Q2 is a special quarter in this regard, not only because the DACH region extraordinarily grew stronger than Rest of Europe, but also because, obviously, these regions had different drivers behind them, right? So if you look at DACH, obviously, Germany being the biggest country in the mix in this region, there we had 2 months of lockdown in a 3-month quarter. So just 1 month with a bit less tailwind from the pandemic. Whereas in some other countries, particularly in Rest of Europe, many of them opened up far earlier than Germany, and that obviously then also meant less tailwind. And therefore, I think this return to normal just started earlier in Rest of Europe, then it now started in DACH or particularly in Germany. That for me, explains the main difference. Going forward, we still assume Rest of Europe will continue to grow significantly faster than DACH. I mean now that we also added 6 new markets and we'll add 2 more next year, as presented at our Capital Markets Day, that's, I think, what you would also expect from us given the tremendous potential that we have left in those countries where we still have much lower penetration than in DACH.
Operator: We have another question coming from Simon Irwin from Crédit Suisse.
Simon Irwin: Just a couple of quick ones. Just to follow up on the previous question about current run rate. Presumably weather has been particularly unhelpful for 3Q to date. I'm just -- so I'm just wondering if that's kind of also affecting your comments about the recent run rate? And maybe also, if you could just talk a little bit more about Sephora. Why is it you need to get these premium brands via Sephora? And what makes them so hard to get hold of on -- with you just purchasing them or do you actually not want to purchase them directly on a wholesale basis and you'd rather do a drop-ship kind of model?
David Schroder: So I'll start on Q3. I mean we have not seen a particularly influence of the weather, to be honest. I think, yes, Q3 is always a quarter that is marked by a warm weather by vacation, by end-of-season sales for spring/summer and then typically, you have a period in between the seasons with lower traction. So that's all, I think, a normal seasonal pattern and not something that we would describe as being out of the ordinary. And in terms of Sephora, I think it's not -- I mean -- I think it's a misunderstanding. If you interpret our comments as we work with Sephora to gain hold of these very attractive brands because we have to, it's rather that we do it because it accelerates the growth of our Beauty category. So I'm pretty sure that we could have also over time struck relationships with all these brands directly. But for us, it's just so much faster and in a way, also easier to now onward them all in 1 goal and therefore, have a much better customer experience already in Q4 and not -- I don't know, sometime next year or the year after. And I think that's really the way to think about it. And I think secondly, you should also not forget that working with partners to drive our growth is a key part of our strategy. So it's not like our preferred route would still be wholesale for everything we do. And therefore, I think it also nicely fits into our overall platform strategy.
Operator: So our next question is coming from Clement Genelot from Bryan Garnier.
Clement Genelot: I've got 2 questions from my side, if I may. The first one is on marketing spending. You mentioned increased marketing spending in Q2. Is it further related to your willingness to capture as much market share as possible? Or are you also observing the higher marketing costs? Let's say, higher marketing cost you had on campaign? In other words, is the [the platform] increasing right now? And my second question is on inflation. Are you currently facing any supply chain issue with your suppliers? And also, are the price increases likely in H2?
David Schroder: Sure. So on marketing spending, I mean obviously, the primary driver of our marketing spending is to grow active customers and to make sure that our existing customers remain engaged. And we do this because we want to continue to grow our active customer base and then obviously find a great way with our vision to become the starting point for fashion for these customers, to do all their fashion and lifestyle shopping, including beauty on Zalando. And so yes, in the end, it follows this idea to increase our market share and to deepen relationships with customers. When we look at our spending in Q2, I think we should, yes, keep in mind that Q2 last year was an all-time low, not only in terms of marketing spending, but in a way, also in many cases, when it comes to the costs incurred for doing marketing on some of these platforms. As we mentioned, I think, last time -- last year at the same time, for some weeks in Q2 2020, it felt a bit like doing marketing back in the old days with very little competition. And that's, yes, led to exceptionally low marketing costs last year. And now, obviously, as we ramp up our spending and as prices are more normal this time around leads to higher spending. But most importantly, as I pointed out earlier, our return on investment on these marketing investments, they looks very strong on a 2- to 3-year horizon. And that's mainly thanks to the strength of our proposition and also to continued reductions in customer churn. On your question regarding inflation, I mean we haven't seen it to a large degree so far. That's probably also the case because we are, especially in our wholesale business, working in longer buying cycles, right? So much of the volumes that you'll see us sell in fall/winter will have been bought way before. We are obviously right now in talks to buy for next year. And yes, there is some upward pressure based on increasing raw material prices and increasing shipping costs. But I think what we obviously have going against that is our increasing scale and the growing importance our platform has for many of our partners. And therefore, I'm pretty sure that we will find a way to mitigate at least part of this effect going forward.
Operator: Next question from Michael Benedict from Berenberg.
Michael Benedict: Just had a couple. Firstly, how should we be thinking about marketing investment in H2 in light of growth slowing somewhat? Should we be expecting the marketing ratio to actually normalize back to pre-pandemic levels? And then the second one, I wondered if you could give some color on trading by country or by region. I guess my question is, has growth normalized most in regions where restrictions have dropped completely? Or has it normalized most in regions where, for example, shops are open, but actually events and occasions are yet to restart?
David Schroder: Yes. So on question regarding marketing, I think it's fair to assume for the second half of the year that marketing will be fairly in line with what we've seen last year, so pretty flat year-over-year. And when we look deeper into trading, obviously, you would see slightly different patterns across different countries, but nothing to call out extraordinary. So I guess overall, the normalization, as we discussed, is driven by societies and economies returning back to normal and restrictions lifting, and that's the case across all of our territories.
Operator: We have a new question coming from Anubhav Malhotra from Liberum.
Anubhav Malhotra: I just wanted to ask on the progress that you may have seen in the Pre-Owned category, which you have recently entered? And what kind of consumer interest you are seeing there? And then secondly, on the Beauty category, just in terms of your target mix long term between partner program and wholesale, would it be similar to what you target for the overall business of 50-50 or any different?
David Schroder: Okay. Yes, so on Pre-Owned, I think it's still pretty early days, as you know, but it's a key piece not only of our growth strategy, but also for our sustainability strategy, and we continue to see very strong traction with our customers. So there's not much year-over-year comparison yet on Pre-Owned. But what we do see a strong quarter-over-quarter developments. And I think that just shows us that there's much more opportunity to come for us, and that's why we continue to drive that proposition forward. I think in the last earnings call, for example, we also told you that we actually expanded the Pre-Owned proposition to 6 or 7 more markets, now available across most of our markets in Europe. When talking about long-term partner program target, I think, overall, as you know, we've said that roughly 50% of our GMV will be driven by partners by 2025. We've increased that target compared to our previous guidance at the Capital Markets Day in March this year. Obviously, this is a target that we set overall and not for a specific category. But in order to achieve it, I guess we would expect all categories to increase their partner share going forward, especially those categories like Beauty where I mentioned that our share is rather low. Whether we'll see 50% in Beauty, I think, remains to be seen. But yes, overall, obviously, we remain committed to that target. And Sephora and the partnership we've struck, I think, is a great way to step change the partner penetration in the Beauty category.
Operator: Next question coming from Rebecca McClellan from Santander.
Rebecca McClellan: Just quickly on price investment. You mentioned a level of price investment over the first half. Are you anticipating similar sort of needs over the second half? And is there any particular market where you're seeing that more than others?
David Schroder: Well, I mean we definitely saw a high level of promotional activity in the market, which is also not surprising in Q2. I mean many of the offline stores had to remain closed for most of Q1 and also parts of Q2. And then when they reopened, obviously, they were sitting on, yes, huge amounts of spring/summer inventory that they needed to sell knowing that the season would come to an end soon. And therefore, yes, we have seen, I think, lots of sales activities, particularly in offline. And to make sure that our proposition remains attractive for consumers, we made sure that we can also offer attractive deals on our apps and premises. Going forward, I think we will probably continue to see elevated promotional activities also in the second half of this year. That's at least our current expectation. It will also, again, be driven by special events like Cyber Week or Black Friday, which are traditionally all around attractive deals and offers. And therefore, I think that is something that we should expect and also have factored into our plan.
Operator: Next question coming from Georgina Johanan from JPMorgan.
Georgina Johanan: I've got a few, please. The first one was just you referenced the working capital position in Q2, and I think with stock position being a bit higher, just to ensure availability given some of the capacity issue. Can you just talk a bit about that, whether you're actually seeing any gaps in availability or if it's more just sort of working hard to ensure the availability is maintained, please? The second question was just a follow-up with regards to what you're saying on seeing some inflation starting to come through in conversations with the brands. Would you -- from what you're hearing from talking to the brands, would you expect to see some of that being pushed through in higher prices for consumers? So are they talking about higher recommended retail prices already, please? And then thirdly, just a clarification question, where you mentioned that you expect the marketing in H2 to be sort of broadly in line with prior year and assume that you were talking about the ratio there rather than in absolute terms, please?
David Schroder: Sure. I mean the last one is probably the fastest. So I was talking about the ratio, not the absolute amount. Keep in mind that Q3 last year was a quarter where we still ramped up marketing. Q4 obviously saw a very high marketing cost ratio. I think for this year, it will be a bit more normalized across these 2 quarters. So yes, I think that's the only additional point I would mention. Then coming to your first question on working capital. Yes, that was predominantly driven by inventories and receivables. Receivables because of our very strong buy now, pay later offer, which combined with very strong sales in Q2, obviously then led also to a strong growth in our receivables position. But yes, I guess it just points to the fact that our deferred payment products are still highly popular with consumers and also drive demand and conversion and customer satisfaction as well. And therefore, that's obviously, yes, the price that we are happily willing to pay. On the inventory, we deliberately decided to prepone inbounds for the fall/winter season to ensure a seamless season start and also make sure that we are well protected against potential supply chain disruptions. I think this strategy has already paid off because as you might have seen or read, there are disruptions in countries of origin, for example, in Vietnam, where some players like Adidas or Nike have, yes, a major part of the factory footprint. And thanks to the preponement of some of our inbound, I think we are well insulated to mitigate some of these disruptions. And therefore, I'm very happy that we've taken the decision. Keep in mind though that for the full year, we maintain our net working capital guidance. So for me, it's rather a quarterly outlier and not something that changes our overall trajectory when it comes to net working capital. In terms of inflation, I think there's not much more I can add to what I already said. So yes, there is some inflationary pressure that we are taking into account in our plans for next year. Whether that's going to lead to higher recommended retail prices, I think that largely also differs by brands, right? So there's -- I think there's no one right answer to that question. And I guess what also remains to be seen, obviously, is how consumers might react to these price increases. But it's definitely not something unexpected given the overall inflation environment out there at the moment.
Operator: Next question from Nizla Naizer, Deutsche Bank.
Nizla Naizer: I have 2 questions from my end. The first one is on the partner programs. David, if you can just dive a little bit more strong growth across all 3 or 4 offerings that you now have, how much GMV is now the partner program volume? And how profitable is it? And also on ZMS, if you can give us how much of the GMV is ZMS revenue? And how profitable has that been? And did that help your margins in any way in Q2? And how will you expect it to help your profitability in the second half? Some color on the profitability elements of it would also be great. My second question is on the current EBIT guidance for the full year. It does imply that the second half margins would then sort of go back to the normal low single-digit levels. Is that the right way of thinking? You mentioned that marketing would normalize. But is there any other specific investments that are happening in the second half that is offsetting any of the scale benefits? Some color there would be great as well.
David Schroder: Sure, you had a lot of questions. Let me try to maybe answer them as comprehensively as possible. So on the platform, I think we do not comment in more detail on the partner program share on a quarterly basis. But as you know, we regularly update you on this figure at least once a year. I think over the past year, we've even done it a bit more often. But I'm happy to remind you that last time we checked at the CMD, we were talking about a partner share that had exceeded 20% overall and also actually exceeded 40% in Germany, where the platform transition is most advanced. And I think there -- you can assume that from there on, given the much stronger growth in the partner program than for the business overall, the share has continued to increase. In terms of the profitability impact, also reminding you of our comments from the CMD, what we said back then is that the margin of the partner business overall. So including all the partner-facing services is already margin accretive on the group level, but the take rate for the partner business is not yet at a similar level as wholesale, as we are only ramping that up over time, but expect it -- still expect it to get very close in the long term as we approach our long-term target margin of 10% to 13% for the group. Now if we look at ZMS. Obviously, we are super happy with the strong traction that business has seen. It was probably one of the businesses that faced most challenges, especially in the initial months of the pandemic. So if you remember 1 year back, we talked about ZMS being almost the only piece of the business not growing at exceptional rates. It's obviously great to now talk about, yes, significant growth again and to also see not just a strong traction in the current quarter and actually an acceleration, if you compare Q1 and now Q2. So Q1 was still growth below 100%. Now we are talking about growth way beyond 100%, getting us to 120% for the first half overall. And for the second half, we already have a healthy level of bookings as well, especially including also many brand campaigns which makes us very confident. Now very long term, obviously, ZMS will play a major role in our profitability profile since it is one of the highest margin businesses that we offer, essentially monetizing the traffic that we have on our platform at very low incremental costs, and that still remains true. It's helping us today, but not obviously to the extent it will help us once we reach our targets to generate advertising revenue at 3% to 4% of group GMV.
Operator: Our next question is coming from Christian Salis from H&A.
Christian Salis: It's Christian Salis speaking from Hauck & Aufhäuser. Just 1 -- a little bit of a technical question from my side. So the reported EBIT in Q2 is EUR 2 million higher than the adjusted EBIT. And that has not been the case for, I don't know, for 5 years or something. So could you explain this difference, please? And also, what kind of share-based compensation is factored in your new adjusted EBIT guidance in full year '21?
David Schroder: Yes. Sure. So as you frankly pointed out, it's definitely not a business as usual that our EBIT is higher than the adjusted EBIT. But as you can see, also mentioned in our half year report, this is due to a nonoperational income that we generated from subleasing some of our office space in Berlin. So also as we prepare the company for the future of a hybrid working model, where our employees will spend some time working from home and some days in the office, we obviously need less office space than if we would still be working fully on site. And that's why we took the advantage to sublease some space at very favorable rates. So a much higher rent than we pay ourselves and that led to this exceptional item that we adjusted for to make sure that our adjusted EBIT still reflects the underlying profitability of our business, which is after all, fashion and lifestyle and not real estate. And then in terms of share-based compensation, what we factored into our full year guidance is around EUR 60 million of share-based compensation, and that's also something that we mentioned in the presentation, I think, in the footnote for you to be fully transparent.
Operator: We have a final question coming from Paul Rossington from HSBC.
Paul Rossington: Just 1 question for me. Can you perhaps give more detail on the Q2 gross margin, the moving parts behind that impact, for example, of promotional activity?
David Schroder: Well, I'm going to keep that rather brief because I think we've talked about it already several times during this call, but happy to say again that we made some deliberate price investments to stay competitive in a highly promotional environment and also particularly to ensure the success of our mid-season and end-of-season sales. And secondly, I think what you also see reflected in the gross margin is obviously that for Q2 customer buying behavior was not yet back to normal. So we still saw a higher share of basics, for example, which typically come with a lower gross margin than some of the other products that we sell on our platform, and that together led to a slightly lower gross margin year-over-year.
Operator: This was our last question. Back to you, Mr. Kofler for the conclusion.
Patrick Kofler: Thanks, everybody, for joining and enjoy the summer. And if there are any open questions after this Q2 publication, do not hesitate to contact us. Cheers. Bye-bye.